Operator: Ladies and gentlemen, thank you for standing by. Welcome to Camtek’s Third Quarter 2022 Results Conference Call. All participants are present in listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. You should’ve all received by now the company’s press release. If you have not received it, please contact Camtek’s Investor Relations team at EK Global Investor Relations at 1-212-378-8040 or view it in the news section of the company’s website at www.camtek.com. I’ll now like to hand over the call to Mr. Ehud Helft of EK Global Investor Relations. Mr. Helft, would you like to begin, please?
Ehud Helft: Yes. Thank you, Operator. I would like to welcome all of you to Camtek’s third quarter 2022 results conference call. Let me remind you everyone that this conference call is being recorded, and the recording will be available on Camtek’s website within a few hours of the call. With me today on the call, we have Mr. Rafi Amit, Camtek’s CEO; Mr. Moshe Eisenberg, Camtek’s CFO; and Mr. Ramy Langer, Camtek’s COO. Rafi will open by providing an overview of Camtek’s results and discuss recent market trends. Moshe will then summarize the financial results of the quarter. Following that Rafi, Moshe and Ramy will be available to take your questions. Before we begin, I would like to remind everyone that certain information provided on this call are internal company estimates, unless otherwise specified. This call may also contain forward-looking statements and I’ll refer you to our Safe Harbor statement that you can view it in press release. Furthermore, during this call, certain non-GAAP financial measures will be discussed. These are used by management to make strategic decisions, forecast future results and evaluate the company’s current performance. We believe that the presentation of non-GAAP financial measures is useful to investors’ understanding and assessment of the company’s ongoing core operations and prospects for the future. A full reconciliation of non-GAAP to GAAP financial measures is included in today’s earnings release. And now I’d like to hand over the call to Rafi Amit, Camtek’s CEO. Rafi, go ahead please.
Rafi Amit: Thanks, Edward. Good morning or good afternoon everyone. Camtek ended another quarter of continued revenue growth. Third quarter revenues were a record of $82 million, a 16% increase year-over-year. Gross margin came in at 49% and operating margin at 28.3%. Close to 60% of our revenues came from Advanced Interconnect Packaging applications. Heterogeneous Integration and HBM account for over 30% of this segment. We continue to expand our customer base. We sold system to 42 new customers in the first nine months of this year. Specifically, we are cementing our position in the front-end and compound semi segments. These two segments accounted for approximately a quarter of our revenues. As widely reported, consumer demand for PC and mobiles is down. As a result the contribution of CMOS Image Sensors related system to this year’s revenue will be slightly below 10%. This quarter, we continued to strengthen our position in the U.S. and Europe due to major industry investment made there. U.S. and Europe accounted for 27% of our sales versus 21% last quarter and 12% in Q3 of last year. Q4 revenues are expected to be similar to those of Q3 translating into record annual revenue of around $320 million for 2022. The company diversified exposure to multiple customer’s secular trends and territories contributed to our success. Last month, the U.S. Commerce Department announced new regulations restricting the sales and support of semiconductor equipment for advanced nodes in China in both Memory and logic. Our customers in China are mainly assets in the Advanced Packaging segment all manufacturers of trading edge silicon wafer. We continue to evaluate the impact of such restrictions on Camtek, but based on our initial assessment, we believe that the direct revenue impact will be marginal, if any. The global economy is projected to decline in 2023, and expected to affect both wafer fab equipment in general and even more so in the Memory segment. 2023 is expected to be a challenging year for the industry with customers being more cautious. We believe that although Camtek’s business model is not immune, it is however more resilient. I will point few presents. One, we support a technology change in the industry of transition to Advanced Packaging and Heterogeneous Integration. 60% of our business is related to these segments. This strength is expected to continue [Technical Difficulty] 
Ehud Helft: Rafi, we can’t hear you.
Rafi Amit: Operator, can you hear? [Technical Difficulty]
Operator: [Operator Instructions] Mr. Ramy Langer would you like to continue please.
Ramy Langer: Thank you. And I apologize we have a technical issue and I will continue on Rafi’s behalf. And I will pick up where he start. And as we said, we believe that Camtek’s business model is not immune. It is however more resilient and let me give you the reasons for it. First, is we support a technology changing the industry of transition to Advanced Packaging and Heterogeneous Integration. 60% of our business is related to these segments. This trend is expected to continue in the next two years. Furthermore, the sales to the Memory segment are limited to DRAM only, which historically accounted for less than 5% of our total business. This segment, we mainly support the transition of the high bandwidths Memory, which is growing based on orders we have on hand and in the pipeline we expect increased sales in this space next year. Also, the increasing complexity of wafers being manufactured today means that manufacturers require ever more advanced inspection systems in their facilities. We believe that the field of inspection and the segments in which we operate will be less affected in the event of a slowdown. Moreover, Camtek has a wide and diversified customer base. This quarter alone, we sold systems to more than 40 different customers and added eight new customers. Altogether, we have over 250 active customers. Despite the positive factors that I’ve outlined, we are progressing cautiously into the New Year. We’re carefully monitoring our balance sheet items such as inventory levels and account receivable as well as our headcount. However, we continue to invest in R&D and plan to introduce new products and capabilities next year, securing our long-term growth path. I would like to conclude by stating that semiconductor is a strategic industry and all leading countries are heavily invested in it. We expect that in 2023 the semiconductor industry will likely decline. Camtek is also not immune, but we believe our leading position, wide customer base and longer term strategic relationship with customers will enable our business to be more resilient than the overall semiconductor industry.  I would like to hand over to Moshe for a more detailed discussion of the financial results. Moshe?
Moshe Eisenberg: Thank you, Ramy. In my financial summary ahead, I will provide the results on a non-GAAP basis. The reconciliation between the GAAP results and the non-GAAP results appears in the tables at the end of the press release issued earlier today. Third quarter revenues came at the record $82 million an increase of 16% compared with the third quarter of 2021. The geographic revenue split for the quarter was as follows; Asia accounted for 73%; in U.S. and Europe for 27%. Gross profit for the quarter was $40.2 million. The gross margin for the quarter was 49% versus 50.9% in the third quarter of last year. Indeed, it is below the typical range of our gross margin model and this quarter it was mainly driven by a less favorable product mix resulting from a few large orders and it does not represent a meaningful trend. We expect some improvement in our gross margin in the fourth quarter. Operating expenses in the quarter were $17 million, an increase of $2.7 million compared to the third quarter of last year and $300,000 compared to the previous quarter. The increase from last year is mostly due to the increase in R&D expenses and sales related activities to support increased revenue. Operating profit in the quarter was $23.2 million compared to the $21.7 million reported in the third quarter of last year, and $23.2 million in the previous quarter. Operating margin was $28 million [ph] in the previous quarter. Operating margin was 28.3% compared to 30.6% last year and 29.9% in the previous quarter.  Net income for the third quarter of 2022 was $23.3 million or $0.48 per diluted share. This is compared to a net income of $20 million or $0.45 per share in the third quarter of last year. Total diluted number of shares as of the end of the third quarter was $48.3 million. Turning to some high level balance sheet and cash flow metrics. Cash and cash equivalents, including short and long-term deposit as of September 30, 2022 were $460.3 million. This compared with $438 million at the end of the second quarter. We generated $25.3 million in cash from operations in the quarter. Inventory level remains flat compared to the end of the previous quarter. In the last few quarters, we increase the inventory to overcome potential supply chain issues. With the stabilization trend of the supply chain, we plan to reduce the inventory level. Accounts receivables went down by $9.7 million as we had good and strong collection in the quarter. This represents approximately 71 days outstanding. I would like to note that the company management is closely monitoring the different scenarios of market demand and customer investment plans for 2023 and is ready to respond accordingly. Regarding guidance, as Rafi mentioned before, we expect fourth quarter revenues to be around the same level as of the third quarter. And with that Rafi, Ramy and I will be open to take your questions. Helft?
Ehud Helft: Operator?
Moshe Eisenberg: You with us? 
Ehud Helft: Yes, I continue with the sweep all the way. No problem. 
Moshe Eisenberg: Yes. Okay. Operator?
Q - Brian Chin: Hi there. Good afternoon and thanks for letting us ask a few questions. Maybe, kind of Rafi, first following the recent U.S. export restrictions into China. I’m just curious, what is your sense on the new investments or how the new investments in fab and Advanced Packaging capacity might be directed and prioritized moving forward? And also, how big of a benefit do you see this for Camtek next year based on increased activity in China in areas like Advanced Packaging or specialty power, et cetera? 
Rafi Amit: Yes. The situation in China, I think, remember just four weeks ago, the Commerce Department, made all these restriction and the announcement, and I think it’s too early to evaluate the effect on the semiconductor industry in China. But at this point, when we discuss with customer in China, it looks like business as usual and utilization is okay. And the PO [ph] everything look like normal. So, I believe it’s still too early to understand if this restriction, it’ll affect the whole industry or specific area we don’t know yet. But as I said, for at this point it looked like business as usual. 
Brian Chin: Okay. And kind of moving beyond the geopolitical, but is it fair to characterize, the environment you’re seeing and sort of the – your order book and the backlog and those patterns? Is it fair to characterize, your Advanced Packaging customers and maybe even more broadly as being in a digestion mode and based on your order book, can you provide any sense on the revenue trajectory in the Q1 or first half next year? 
Rafi Amit: Look, first of all, as we mentioned, most of our customer are not in the high notes, and we are mainly support the OSAT. So they’re not in this, under this restriction. Second about the backlog and pipeline, I would say that if we just look, a year ago, definitely all the supply chain interruption cause to many customer to place all their ahead of time to secure delivery. Now when delivery back to normal and people feel more comfortable and even some think about, even probability of slowdown, definitely a customer not so hurry to place order. So, we can see that the amount of pipeline is much bigger than backlog. So, we discuss this customer. We see leads, but we can’t see today, forecast as we saw a year ago, because the customer looking they place order when they really need it and they don’t feel they need to secure, delivery few quarter ahead. So, as I said, if we talk together, the backlog and the pipeline, it’s, look, I would say pretty normal, but, I would say to see when the pipeline will be converted to backlog, this can take time and probably as before we will know more before we start the new quarter, we get a better picture. 
Brian Chin: Okay. Got it. Yes, I mean, I’ve – this might have be based on a huge sample size, but I’ve noticed or observed sometimes Q1 kind of, maybe its seasonal tends to be sequentially up in terms of revenue. But maybe listening to what you’re saying, Rafi, maybe it’s, you could take a step down a little bit given sort of, you don’t have as much backlog, the define backlog, moving into next year. 
Rafi Amit: Ramy can contribute that?
Ramy Langer: I, let me try and be a little bit, definitely our visibility at this stage looking into 2023 is limited. Now the backlog is healthy, and we have a very strong pipeline, and I think as Rafi said, it is too early to assess how quickly this pipeline will turn into orders. And this is a little bit different than where we were, let’s say a year ago, but definitely at this stage it’s too early. We’ll need to wait for another few weeks until we’ll be able to really give a better assessment on the first half of 2023. 
Brian Chin: Okay. Fair enough. I’ll hop out to move the line along. Thanks a lot. Bye. 
Operator: The next question is from Tom O’Malley of Barclays. Please go ahead. 
Tom O’Malley: Hey, thanks for taking my question guys. I just had a question on the December quarter. So, so clearly visibility isn’t as strong as it was before, but you guys are guiding to flat business. Could you just talk about how much of the December quarter is actually booked today already? And how much is influx as the quarter goes along?
Rafi Amit: Now the current quarter is fully booked and it’s really now is a question of executing the shipment and that’s it. We don’t expect any surprises this quarter. 
Tom O’Malley: Okay. And then if I look at the mix of business, clearly CMOS image sensing is a little weaker, I think you said in the prepared remarks that that’s coming in below 10%. It’s already kind of tracking well below that, so that makes sense. But in the quarter for September, you saw a pretty big decline in what you’ve called the other or general business. What contributed to that decline sequentially and will that go down again in December? 
Moshe Eisenberg: The decline. Tom, I’m not sure about which decline. I mean, we are seeing, and I think we said it in the prepared remarks, our business for the Advanced Packaging is around 60%. It has been in the last few quarters, and it’s a very similar rate. The front-end and the compound semi is about 25%. So overall, I would say that 85% of the business is very, very stable. Now, the rest, CMOS Image Sensor historically was above 10%. This year it’ll be a little bit less, and this will be compensated by what we call general 2D inspection applications, things like MEMS and other applications which are smaller in the volume. But from the business point of view, there aren’t any differences or declines. The only change, I would say is the CMOS Image Sensors, and this is strongly related to mobile phone sales. 
Tom O’Malley: Got it. Got it. And then just one more on the coverage. So totally understandable that you’re seeing limited visibility. I think broadly markets are just getting weaker in general. And you’re kind of talking about a semiconductor market that’s down next year. Have you thought about what your business can grow in a scenario where wafer fab equipment’s down 20% plus? I’m just trying to understand. You guys have clearly outgrown the market for the past several years. In a market that’s down, say 10% or 20%, how much growth do you think you see off of a market? That’s a little weaker next year. Thank you. 
Rafi Amit: Yes, so Tom, I think it is much too early to say today, what will be with our current visibility to really say, to give a good indication of the 2023 business, what we believe that we’ll do better than industry. And at this stage, how much better than the industry? It is really too early to say, and I believe that within a quarter or so will be in a much better position to give more accurate statements.
Tom O’Malley: Thank you.
Rafi Amit: Thank you.
Operator: The next question is from Charles Shi of Needham and Company. Please go ahead. 
Charles Shi: Hi. Yes, thank you for taking my question. I have, first a little bit longer term question, not specific to 2023. I think one underappreciated part of your business is that you have a very broad customer base 250 active, I mean, assuming each one of them just by one, two systems, that’s enough to support you to $300 million annual run rate. And I think customers either in a greenfield customers or, competitive displacement. However, I do want to ask you, this question from this point and forward, how much of the incremental additions of new customers do you think is going to be, could there be a slowdown of the number of customer you can add going forward? From here and specifically I want to ask you about the wafer manufacturers. I don’t recall you talk about that particular set of customers and, is that some competitive displacement there? Thank you. 
Rafi Amit: Hey it’s, I didn’t think about it before, but first of all, I believe it’ll continue to add new customers, and the broad addition of customers is in general, it’s not related to one specific territory. I think as we grow the business, we’re getting into new segments and therefore, yes, we’ll continue to add the customers, whether it’ll be in the range of this year that we’ve already added 42 customers. I’m not sure, whether it’ll be, or it’ll be in a different magnitude, but definitely if we look also historically into previous years, we’ve been adding a significant number of customers every year. Now, specifically wafer manufacturers, yes we are adding new wafer manufacturers to our portfolio. And we’ll continue to add, and when I look at the target market for 2023, I believe that we’ll have new customers in this segment as well. Did I answer your question? 
Charles Shi: Yes. So the other question I have is, well, first all, we appreciate you from time-to-time, provide, new press releases about the latest orders you received from your customers, but your last update was in early September. So between September to now over the last two months, how do you see the ordering rate going, and I may have another follow up after this. Thank you. 
Rafi Amit: So, I think what you mentioned it in the previous remark that you talked about, yes we’ve been adding orders. I think currently we see customers waiting to make sure that they’re getting the business before they’ll turn the pipeline into POs [ph]. But when we look to the, at our backlog and add the pipeline, the business is healthy. They’re really, the big question, and this is why we are a – we have a limited visibility, is the rate of the customers turning potential POs from the pipeline into real POs. They are taking more time and they will delete times or shorter. And so I think we’ll have a better assessment and we’ll be able to give better numbers and more accurate numbers within a couple of months. 
Ramy Langer: Yes. But I would like to add a comment. Usually when we make announcement of order, it should be, over what we call multiple system orders. We don’t make announcement for one or two system per customer. That’s the big difference. And, if we look on our portfolio, it’s definitely contained a lot of what we call one and two unit per customer. So definitely we don’t make any announcement of each order of that. 
Charles Shi: Got it. Got it. So maybe my last follow up is, in your backlog, what’s the, based on your backlog, what’s your visibility into first half 2023? Can you see something shipments scheduled? Well, what’s the latest? Is it the second quarter 2023? Or is it the still first quarter 2023? Thank you. 
Rafi Amit: Well, looking into the backlog, we have backlog today, that is already including, machine shipments in the first and the second quarter. However, we still need, in order to complete shipments for both quarters, we will need to converge some of the pipeline into POs. And that’s exactly what we’re doing today.
Charles Shi: Thank you. 
Operator: The next question is from Craig Ellis of B. Riley Securities. Please go ahead.
Craig Ellis: Hey team. Thanks for taking the question and congratulations on the execution in the third quarter. A lot of discussion around backlog and orders and visibility into calendar 2023. So, I wanted to pivot to gross margin. Moshe, you talked about some large customer dynamics that impacted gross margin in the quarter. Can you just identify if there were any other factors that impacted gross margin and what should be expected with gross margin, beyond the calendar fourth quarter? Would they get back to that 51% level? Or their input cost or other large customer items that would have them maybe sub 50, or right around 50%? 
Moshe Eisenberg: So the main impact of the, the relatively lower gross margin for the third quarter was indeed a few large orders that we have delivered in the quarter. And we will continue, we will complete a delivery of them, over the course of the fourth quarter. So you will see some improvement in the fourth quarter, but not to the full extent. We should go, above the 50% mark, next year. I’m not sure to the full 52%, the upper limit, but we should be able to go back to above the 50% level. 
Craig Ellis: Got it. That’s helpful. And then the second question just relates to operating expense, and I acknowledge we’re dealing with an unusually uncertain environment, but the question is this, if order trends and other dynamics meant that we weren’t seeing the backlog conversion, to firm orders, as you look at operating expense, do you feel like you have any flexibility to reduce operating expense tactically or given the significant increase in customer engagements? Do you really have pressure on R&D to scale that up, so that you can do the work that you need to do to serve all these new customers? 
Moshe Eisenberg: So, the two key elements in our operating expense structure is the R&D and sales and marketing, G&A stays pretty much flat. We believe that, our business model is pretty agile, so we can change, some of the old expense mix between, direct and indirect. On the R&D front, I think Rafi mentioned in his prepared remarks that we want to continue to invest. We have plans to introduce new products and new capabilities. So this is definitely an area that we don’t want to affect, but within the certain marketing, there are certain activities that can be changed based on activity level. 
Craig Ellis: Yes, that makes sense. And then for my final question, a real strong, cash performance in the quarter. Here we are with $460 million in cash and equivalent. Rafi, can you just give us an update on how you’re thinking about M&A? I know you’ve talked about it in the past, and one of the things that precluded significant progress was that we had a COVID environment that really made it hard to get out and meet potential targets in person. But what should investor expectations be as we exit 2022 and look into 2023 on potential there? Thank you. 
Moshe Eisenberg: Yes, regarding M&A, definitely we now you invest a lot of efforts, and the fact that I’m not, participated the meeting in Israel because it also, I’m investing on this issue, so we really believe that, we can do something in the next few months definitely. But, it’s a long process, even if you find something you want to make today especially good, good to check everything, to be sure that this is the right merge and not to do, to make any mistake. So, we do it cautiously, but definitely we invest a lot of effort to execute, I would say in the next six months something. 
Craig Ellis: And can you talk a little bit about what your priorities are, whether it’s, increased geographic and market exposure or particular technology capabilities?
Moshe Eisenberg: You’re talking about M&A priority – look, I would say that, since we take a major market share, we are not looking for a company similar to Camtek or doing something like Camtek this. This is not, so I don’t think it bring any effort – any advantage for us. We focus more on some, in one hand should be in the same market segment, but on the other end in different technology or different product line. And then we can still use our, infrastructure of sales and marketing and support and enjoy this infrastructure to promote another product line. And this is the roughly the way this is the priority that, we are giving. And there are some area, there are metrology, there are some process. The other thing that’s still targeting the same segment as we focus and we really believe that we can bring some, some results very soon. 
Craig Ellis: That makes sense. Not so much scaler, but really technology extension, product line extension. Thanks guys. 
Rafi Amit: Thank you.
Moshe Eisenberg: Thank you. 
Operator: The next question is from Gus Richard of Northland. Please go ahead. 
Gus Richard: Yes, thanks for taking my question. Just on the, frontend side, you mentioned you’ve got pretty good demand from, excuse me, compound semis. And I was just wondering, is that silicon carbide, gallium arsenide, indium phosphide, gallium nitride what, which compound semiconductors is driving in that part of your business? 
Rafi Amit: I think today what’s dominant in the business in the last, I would say couple of quarters, it’s definitely the silicon carbide portion. 
Gus Richard: And how much of your front-end business is compounded?
Rafi Amit: Now, I would say, it differs from quarter-to-quarter. It is roughly, I would say close to 10%, but it’s one quarter more, one quarter less roughly 10% of the business. 
Gus Richard: Got it. That’s very helpful. And then just one last attempt on visibility. 90 days ago you were slotting out, I think, into Q1, today if somebody came in and wanted a tool as soon as possible, when could you accommodate that customer?
Rafi Amit: This is a difficult question Gus, because it really depends on the kind of tool that he wants. So certain tools will be able to give him in less than two quarters. How much less? It depends, but I would say, it is the, the soonest we can give is roughly four to six months. This is the soonest we can give somebody a tool. 
Gus Richard: Got it. And what does that, in normal times, if we ever get back to that, what would that lead time be?
Rafi Amit: That’s the lead time. I mean, you are talking about 16 months to 20 months – 20-weeks, and if you go back let’s say a six month or a year ago, I think those lead time extended up to two quarters. So definitely lead times are shorter today by roughly, I would say they have shortened by roughly if you want to get number anywhere a bit around a month and a half to two months. And that’s exactly the difficulty that we have been describing now because having said that, people understand that we can provide machines at around four months and therefore there are less quick to secure the slots. They understand that there are slots, in our manufacturing and therefore this limits our visibility to the first half of next year. 
Gus Richard: Got it. Super helpful. And do you have any, supply constraints at this point? Or have the supply chain issues been alleviated? 
Rafi Amit: I believe they have been alleviated. There are some issues here and there, there is a missing component here and there, but we are able to get the material that we need. I don’t think that supply chain issues today are, will create any shortages or lack of all the ability to ship any machine. So, I think this is not the, the main issue today, that we have overall, we can get the parts. I think the supply chain in general is getting to, I would say, more reasonable situation. 
Gus Richard: Okay. And then, the last one for me, today roughly what is your quarterly revenue capacity?
Rafi Amit: No, I think that we’re not, I think we discussed this in previous calls. We have made a significant investment in a clean room capacity and today the capacity is, it’s not a limitation anymore. We’ve increased our capacity by about 50% where are today able from our facility to ship about $0.5 billion of revenues or in machines. So this is not a limitation anymore. 
Gus Richard: Okay. Great. Thank you so much for taking my questions. 
Rafi Amit: Thank you, Gus.
Moshe Eisenberg: Okay. 
Operator: [Operator Instructions] There are no further questions at this time. Before I ask Mr. Amit to go ahead with his closing statement, I would like to remind participants that a replay of this call will be available on Camtek’s website, www.camtek.co.il beginning tomorrow. Mr. Amit, would you like to make your concluding statement?
Rafi Amit: Yes. I would like to thank to thank you all for your continued interest in our business. Again, I would like to thank all of our employees and my management team for their tremendous performance and we look forward to continue it. To our investor, I think your long-term support; I look forward to talking with you again next quarter. Thank you and goodbye. 
Operator: Thank you. This concludes the Camtek third quarter 2022 results conference call. Thank you for your participation. You may go ahead and disconnect.